Operator: Greetings. Welcome to the Crexendo First Quarter 2025 Earnings Call. At this time, all participants are in listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. Please note this conference is being recorded. I will now turn the conference over to your host, Jeff Korn, Chairman of the Board. You may begin.
Jeff Korn : Thank you, John, and good afternoon, everyone. Welcome to the Crexendo Q1 2025 year-end conference call. I'm Jeff Korn, CEO and Chairman of the Board. On the call with me today are Doug Gaylor, our President and COO; Ron Vincent, our CFO; and in the room with us is Jon Brinton, our CRO, and Anand Bush, our CSO. In a moment, John will read our safe harbor statement. After that, I will give some brief comments on our performance for Q1. Ron will then provide more details on the numbers before handing over the call to Doug to provide a business and sales update. After that, we will open the call up to questions. Jon, would you please read the safe harbor statement?
Jon Brinton : Thank you, Jeff. I want to take this opportunity to remind listeners that this call will contain forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934. The Private Securities Litigation Reform Act of 1995 provides a safe harbor for such forward-looking statements. All statements made in this conference call, other than statements of historical fact, are forward-looking statements. Forward-looking statements include, but are not limited to, words like believe, expect, anticipate, estimate, will, and other similar statements of expectation identifying forward-looking statements. Investors should be aware that any forward-looking statements are based on assumptions and are subject to risks and uncertainties that could cause actual results to differ materially from those discussed here today. These risk factors are explained in detail in the company's filings with the Securities and Exchange Commission, including the Form 10-K for fiscal year ending December 31, 2024, and the Form 10-Q as filed. Crexendo does not undertake any obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events, or otherwise. I'd now like to turn the call back to Jeff. Jeff?
Jeff Korn : Thank you, Jon. I am incredibly pleased with our first quarter results and remain more excited than ever about the direction Crexendo is heading. We continue to execute our strategic vision, delivering strong performance while making meaningful and disciplined investments in our business. Our ability to grow while remaining profitable is a testament to the strength of our team, our differential model, and the significant opportunities ahead. Let me highlight a few key points from the quarter. Our first quarter results once again validate our strategy and business model. We grew total revenue by 12% year over year to $16.1 million, fueled by a 33% increase in software solutions revenue, while delivering strong GAAP profitability and generating substantial cash flow. Our ability to invest meaningfully in innovation, infrastructure, and talent while maintaining strong profitability underscores the strength of our disciplined approach. Our software solutions platform surpassed 6 million users during the quarter, a major milestone that reflects the growing demand for our award-winning offerings. The 33% growth in software revenue was accomplished by significant margin expansion, with gross margins in the segment increasing 500 basis points to 78% compared to Q1 2024, and 1,000 basis points higher than Q4 2024. These results clearly demonstrate the scalability and operating leverage of our platform. I am particularly excited by the continued momentum in our software solutions division. This reinforces not only the power of our platform, but also the strength of our licensees and partner ecosystem. We believe the disruption in the market, particularly with Metaswitch and Cisco BroadSoft, continues to work to our advantage, and we have been and continue to meticulously target new logos as a result. We have won more than our fair share of logos, and I am convinced we will continue to win more. Our differentiated software model, with session-based pricing instead of seat-based, our open APIs, and our flexible deployment options, whether cloud, facilities, or hybrid, are critical factors in why companies are choosing Crexendo. We are building a platform for the future, giving customers flexibility and the control they both demand and need. You may have noticed we've become more strategic about publicizing customer acquisitions. We believe it's not in our best interest to put out our battle plans in plain view from our competitors. We are focused on execution and winning our share of the market, quietly and effectively. We will announce customer wins when it's strategically appropriate, but we will not issue press releases for every conversion. On the telecom side, with the UCaaS market remaining highly competitive, I want to be clear we are committed to growing our telecom division, but we will do so profitably. UCaaS sales across the industry are extremely competitive, with some competitors engaging in unsustainable practices, including aggressive spits and incentives that are making sales unprofitable. That is not something I am willing to do. Acquiring customers at a loss is a zero-sum game, a strategy that has driven many of our competitors into debt and significant financial instability. We believe in a better way. Prioritizing sustainable growth, profitability, and delivering real value to our customers. Our secret sauce in UCaaS is our industry best customer service as independently verified by G2, and our award-winning VIP platform bundle, which remains unmatched in the market. We lead with differentiated service and superior products, not desperate pricing, and we will continue to grow the telecom division profitably. We reported strong net income on a GAAP and non-GAAP basis of $1.2 million and $2.6 million, respectively for the quarter, and adjusted EBITDA of $2.6 million, driven by our discipline focused, approach to grow and how we manage the business. While many CEOs are pulling back guidance due to macro-economic uncertainty, we have not seen a measurable weakening in demand for our offerings. I remain confident that we will continue to deliver double-digit revenue growth moving forward. We will continue to invest in innovation, expanding our engineering service and support teams and making strategic investments in automation, financial systems and product development to drive even greater operation -- operating leverage in the future. This is important to maintain and grow our position in the industry. Our ecosystem vendor partner program, EVP, as we call it, is gaining real traction and momentum. By investing in our open API architecture and empowering our developer and licensee community, we are setting the stage for EVP to become a significant revenue driver in the years ahead. We are very excited about the improvements and benefits we expect to see from two major current initiatives. First, the end of our classic migration to our VIP system is close to completion and will free up internal resources, improve overall margins and reduce operational draft. Second, our goal to close our current hosted data centers and fully migrate to Oracle cloud infrastructure, OCI, by the end of 2025, will drive substantial cost savings and allow us to focus resources on innovation and customer success rather than infrastructure management. We expect these actions to contribute significantly to margin expansion and growth. We are also evaluating strategic acquisition opportunities. We believe the market has become more rational regarding business valuations from non-public companies, and we are currently engaged in discussions if we identify acquisition targets, where we can be confident of making the acquisition accretive within two quarters, we will selectively pursue those opportunities. I have never been more confident in our path forward. Over the past two years, we have transformed Crexendo into a profitable, high-growth software leader. As the telecom and software sectors continue to evolve, Crexendo is better positioned than ever to capitalize on industry disruption, customer needs and emerging opportunities. Our mission remains the same to provide the best software solutions, the best customer service and the most flexible and customer-centric platform in the market. We will continue to focus on customer acquisition, customer retention, sustainable growth, market expansion and strategic innovation. With that, I'll turn the call over to Ron to walk you through the financial results for the quarter. Ron?
Ron Vincent : Thank you, Jeff, and good afternoon, everyone. We had a strong first quarter as Jeff highlighted and I am happy to share the results with you today. Consolidated revenue for the quarter increased 12% to $16.1 million. That's compared to $14.3 million for the first quarter of the prior year. Our service revenue increased 4% to $8.2 million compared to $7.8 million for the first quarter of the prior year. Our software solutions revenue for the quarter increased 33% to $6.9 million compared to $5.1 million for the first quarter of the prior year. Product revenue for the quarter declined 22% to $1.1 million compared to $1.3 million for the first quarter of the prior year. Gross margins for the first quarter compared to the first quarter of the prior year, service revenue gross margin decreased 3% quarter over quarter to 57% and no change from the fourth quarter of 2024. Software solutions revenue gross margins increased by 5% quarter over quarter to 78%, and up 10% from the fourth quarter of 2024. Product revenue growth margin decreased by 3% quarter over quarter to 41%, and down 1% from the fourth quarter of 2024. Consolidated revenue growth margin increased by 2% quarter over quarter to 65%, and up 4% from the fourth quarter of 2024. Operating expenses for the quarter increased 8% to $14.9 million compared to $13.8 million for the first quarter of the prior year. The operating margin for the quarter was 7.2% compared to 3.4% for the same period of the prior year. That's 112% increase. Net income of $1.2 million for the quarter. That's $0.04 for basic and diluted common share compared to net income of $400,000 or $0.02 per basic and $0.01 per diluted common share reported for the first quarter of the prior year. Non-GAAP net income was $2.6 million for the quarter. That's $0.09 per basic and $0.08 per diluted common share compared to non-GAAP net income of $1.9 million or $0.07 per basic and $0.06 per diluted common share reported for the first quarter of the prior year. EBITDA for the quarter was $1.9 million. That's compared to $1.3 million for the first quarter of the prior year. And adjusted EBITDA for the quarter was $2.6 million compared to $2.1 million for the first quarter of the prior year. Our cash and cash equivalents at March 31st, 2025 was $21.2 million compared to $18.2 million at December 31st, 2024. Cash provided by operating activities for the three months was $1.2 million. That's compared to $200,000 used for operating activities in the first quarter of the prior year. Cash provided by financing activities for the three-month period was $1.8 million. That's compared to $900,000 provided for the first quarter of the prior year. I will now turn it over to Doug Gaylor, our President and COO, for additional comments on sales and operations.
Doug Gaylor : Thanks, Ron. I'm extremely pleased with our strong Q1 results to start 2025. Our 12% year-over-year increase in Q1 revenue, along with our 300% year-over-year increase in GAAP profitability, were the direct results of our focus on growing organically and profitably. Our top-line growth, combined with our dedication to managing costs, allowed us to achieve GAAP profitability for our seventh consecutive quarter and exceed both our internal and external targets for the quarter. Our GAAP net income of $1.2 million for the quarter and non-GAAP net income of $2.6 million for the quarter were a direct result of our success in managing the fundamentals of the business and making a strong effort to maximize and recognize synergies within the business. Our entire team is continually working to improve business processes and make our company more efficient, and we believe we will continue to see more efficiencies and cost synergies as we continue our growth and continue our data center migrations that will show additional meaningful cost savings over the next 12 months. We saw tremendous organic growth of 33% from our software solutions segment of the business during the quarter, and that was fueled by uncertainties created by our two largest software solutions competitors, Cisco and Metaswitch, and we continue to see very strong demand for our UCaaS platform offering. Cisco has increased pricing, decreased support, and slowed future development on their BroadSoft platform, while Microsoft recently sold their Metaswitch to a company that already has their own proprietary platform, creating a lot of uncertainty amongst their licensees. These disruptive actions continue to help build our pipeline of prospects for our software platform. Our unique pricing and support model for our software solutions platform, combined with our robust feature set, allows us to differentiate ourselves from the rest of our competition. Our telecom services retail segment grew at 1% organically as we have proactively substantially reduced selling some lower margin opportunities to maintain margin. We continue to see strong demand for our offerings from our channel partners and our master agent technology service distributors, and expect that growth number to rebound. Our channel partner resellers sell our services to their prospects and customers on a revenue share basis, and these channel partner and reseller agents have great confidence representing our Crexendo VIP offering because of our 100% uptime guarantee, combined with our best-in-class customer service and customer satisfaction, which consistently ranks number one. As Jeff previously mentioned, we are focused on profitably growing this segment, and we are not pursuing low-margin or unprofitable retail opportunities. Our remaining performance obligation, also referred to as backlog, is now at $82 million, an increase of $22% from Q1 of 2024. Our remaining performance obligation number is the sum of the remaining contract values for our telecom services and our software solutions customers that will be recognized on a sliding scale over the next 60 months, and it's a strong indicator of our future revenue stream. Of the $82 million in remaining performance obligation, over $30 million is currently slated to be recognized over the remainder of 2025. We continue to focus on improving our gross margins and saw a strong increase in overall gross margins in the quarter. Consolidated gross margin increased 61% at the end of 2024 to 65% in Q1. The increase in consolidated gross margin was primarily due to the significant improvement in our software solutions segment gross margins, which improved from 72% at the end of last year to 78% in Q1, highlighting the scalability and operating leverage we have on the software segment of the business. Our telecom services' gross margins for services remained at 57%, consistent with Q4. We are confident that we will continue to see gross margin improvements in both segments of the business in the future. Crexendo's tremendous engineering team continues to enhance and improve our award-winning technology. During Q1, we were rated by G2.com, which is the premier business software and services review site, as the number one cloud communications provider in 18 separate satisfaction metrics, including easiest to use, quality of support, and ease of doing business with, just to name a few. Crexendo was also honored during the quarter as the 2025 product of the year, as well as receiving the hosted VoIP Excellence Award from Internet Telephony Magazine, highlighting the strength of our platform and our products. Both awards highlighted our groundbreaking AI features that enable users to create, engage, and analyze business communications effectively, efficiently, and affordably using artificial intelligence. We currently have a variety of AI solutions available for end users, including our Video AI Studio, our Voice AI Studio, AI Call Recording and our Contact Center AI, powered by ChatGPT. After starting 2025 with a strong Q1, I couldn't be more excited about the future direction and opportunity for Crexendo. Over the past three years, we have more than doubled our revenue, while improving our bottom line significantly, and have now posted seven consecutive quarters of GAAP profitability and 26 consecutive quarters with non-GAAP net income. We are positioned perfectly with a combination of strong demand for our product offerings, along with great solutions with a disruptive pricing model, and the best and most talented workforce in the industry to continue our strong growth and our strong success. We are committed to delivering the best UCaaS, CCaaS, and CPaaS offerings in the sector to our customers and our partners, and the best return for our shareholders. As the fastest-growing platform solution in the country, now supporting over 6 million end users, we are focused on enhancing our solutions, improving our efficiencies, and continuing to return strong results. With that, I will now turn it over to Jeff for any further comments.
Jeff Korn : I don't have any further comments at this time, so John, let's open the call up to questions.
Operator: Certainly. At this time, we'll be conducting a question-and-answer session. [Operator Instructions]. The first question comes from Eric Martinuzzi with Lake Street Capital. Please proceed.
Eric Martinuzzi : Yeah, congratulations on the terrific start to the year. I had a question regarding your comment about the double-digit growth, Jeff. You talked about, yes, the double-digit growth is sustainable, but I know that you, in some cases, there's puts and takes in a given quarter, so I assume that comment was relevant to 2025, or was it perhaps specifically for Q2? Do we see that double-digit? Is that anticipated for the current quarter?
Jeff Korn: Eric, the guidance I've given has been year over year because, as you're right, there can be quarterly variances which depend upon upgrades or new logos, which we're confident will come in over the year, but it's hard to gauge quarter to quarter, and I see nothing in our future which makes me want to change our guidance to 10% year over year, a minimum double-digit growth year over year.
Eric Martinuzzi : Got it. And then you've talked about the unnatural behaviors by competitors regarding and master distributor relationships. I'm just wondering if there is any change there with the turning of the calendar year, or would you just describe it as similar to 2024?
Jeff Korn : Thus far, that seems to be similar to 2024. As I mentioned in my comments, I believe it's unsustainable. And if you look at some of our competitors with the deep depth they have, and the other organic problems they have, I think it makes it clear. It's unsustainable. So, we will continue to pursue and grow at a profitable basis, which is what we've always done. As I said in my comments, we differentiate ourselves not by buying customers at a loss, but by delivering better service and better customer service.
Operator: The next question comes from Mike Latimore with Northland Capital Markets. Please proceed.
Mike Latimore : On the software gross margin, really impressive improvement there. Can you just give a little bit more detail on what that drove? What drove that improvement? And also, that sustainable, I think you said maybe even some improvement from there, but just a little bit color on where we might go from here.
Ron Vincent: Hey, Mike, obviously, the increase in the margin is driven by the higher increase in and quarter-over-quarter top-line revenue and the software solutions division. And so, it's evident as we continue to grow at a rapid pace, our margins will improve. We still, for the year, are still in that viewpoint of mid-70s to 73% to 75% is our target for the full year. We had a great quarter, so we had significant improvement in the quarter, but I'm not going to guide to 78% and higher from this point forward. But I would say in that 73% to 75% range is where we like to target.
Mike Latimore : And then I guess it's been a few months now since the Metaswitch acquisition by Alianza. Can you provide a little bit more color on what you're seeing there in terms of just are they getting more or less aggressive in the market? You clearly are winning a lot of business here, but any kind of change in what you're seeing out of Metaswitch since its acquisition?
Jeff Korn : We haven't seen a lot of change yet. People are still asking for sandboxes and are looking at our platform. It wouldn't shock us if decisions took a little bit longer as people were looking at what Alianza was doing, but we are highly competent due to our differentiated model, due to the level of service we provide, due to the fact that you can create your own system using our open APIs, that you can choose a hybrid system. You can use a cloud system, or you can use a facility-based system that we will continue to win more than our fair share of all of these licensees. We believe we provide a better product, better service, and better pricing with more flexibility, and we believe that's what will drive the market.
Mike Latimore : I just lapped on your, I think you called it EVP, but basically the app ecosystem here. How many are sort of fully integrated now? And of the group you have, are there a couple that are getting the best amount of interest?
Jeff Korn : I'm going to let Anand answer that because he deals with that far more than the rest of us.
Anand Bush: Sure. Thanks, Jeff. Yeah, I mean, I think, as Jeff pointed out, we're continuing to see growth there. We are constantly looking at kind of an inflow of partners that want to add into the ecosystem. We're on a regular clip, trying to onboard 10 to 12. There's other specific ones that are in there, varies depending on what the customer's needs are at that given time. So, there's just kind of constant inflow of ecosystem partners. So, there's no one specific area, if you will, but obviously, more recently, a big uptick in folks that want to leverage AI-type applications, and also customer service-type applications. That's where most of the interest lies.
Jeff Korn : And quite a few POS replacement sales over the last quarter.
Anand Bush: So, yeah, absolutely. And actually, that was a question that we should -- that's one of the ones that we actually onboarded probably within the last year or so. But we've seen that actually take a big uplift more recently as customers get their hands on this stuff and it gets onboarded and put out to the field.
Operator: Up next is George Sutton with Craig-Hallum. Please proceed.
George Sutton : So, you had mentioned the term meticulously targets. Licensees, I'm curious if you could just give us a sense of how exactly you are targeting what seems to be a very big, open-ended market, and there was no discussion on the call. I'm curious if you can give us any more details there. That looks like a great win.
Jeff Korn : Well, I'm not going to give you our marketing plans publicly, George, because I sure Alianza and Cisco would love that. So, but I am going to tell you that we obviously know who most of the customers are in the field. We reach out to them. We have our salespeople reach out to them. We target them with marketing and blogs, and we have found it quite effective thus far.
George Sutton : Jon, do you want to give a little color on the board [Indiscernible] opportunity?
Jon Brinton : Yeah, just if you look at Doug mentioned, avoid the opportunity, which we run recently, they have 25,000 customers that they currently have that. They're looking to potentially move over to us with some of the other partners. Our value proposition is well defined for them. Jeff talked about some of those points. The sessions, not seats model, the flexibility of deployment that they can deploy it in their cloud or in our cloud. Just several of the differentiators we talked about the, the API's and what we've been able to do with AI applications and some of the other items. We still support perpetual license or subscription-based pricing. So, no matter who we're competing against, that value proposition appeals to a lot of partners, and we're reaching out to them. We're working with them. And when they come in, and they're going through an evaluation with our platform versus the competitors. Some of those things are just the key indicators of whether they're going to move forward. And much of the competition is walking away from several components of that, or they just don't support it anymore. So, we do give a differentiated value. That's easy for us to communicate in a kind of a defined, confined market of companies that are the prospects we're going after.
George Sutton : And one of the things, Jeff, you certainly sounded more optimistic about M&A, I would say, than you have prior in prior quarters. I think you sounded somewhat frustrated about expectations on behalf of the sellers. And now you're sounding a little bit more optimistic. Can you just give us a little bit better sense there?
Jeff Korn : Yes, George, it -- obviously, I don't want to give numbers out over the phone, but a lot of private companies were looking with an eye toward even COVID and believe multiple still belong to there. Obviously, COVID multiples made no sense as you look at current multiples and public company multiples don't necessarily make sense for private companies. That message is beginning to be realized, and the people we've spoken with are getting to a more rational and realistic value proposition. There's still a difference between what they think they may be worth and we think they may be worth, but that's a bridge we can now cross.
George Sutton : Just one other question to take advantage of, Jon, being on the call with Mitel announcing or filing for bankruptcy. Can you just talk about what you see as potential opportunities from that?
Jon Brinton : Yeah, I would just say, George, with some of the legacy providers, we've seen an ongoing interest from their channel that they had a hosted offer at one point in time, had a partnership with RingCentral. And over the last three years, there's been a trend of both Mitel and Avaya, and I would say other legacy soft switch providers, partners looking for alternatives in the market. So, we continue to sell and onboard partners that had built a business with them at one point in time, and they currently, frankly, today don't think that's the best place for their customers to live for the next five years or 10 years. And so, the positive benefit to that is they continue to look at the NetSapiens platform and value the history that we have of being very friendly with our partners and our channel, and really having a channel-focused go-to-market. And many of them have chosen to deploy our platform as an alternative to those legacy platforms.
Operator: [Operator Instructions]. Up next is Matthew Maus with B. Riley. Please proceed, Matthew.
Matthew Maus : Hi, this is Matthew on for Josh Nichols. Thanks for taking my questions. I guess to start off, I was wondering what drove the large sequential drop in software COGS. Was it mainly because there was about $1 million of lower margin net revenue in Q4, or what is the explanation for that?
Ron Vincent : Yeah, so primarily driven by the higher growth in sales and revenue and $667,000 reduction in cost.
Matthew Maus : Thank you. And I guess on the telecom side, I'm wondering what do you see as a driver of growth for telecoms? And what's the trajectory on that given the current environment where the competitors are pricing aggressively?
Jon Brinton : Well, again, as we discussed, we believe that our customer service is a differentiation. Our bundle of services included in UCaaS is a differentiation. And as I said, the current purchasing of customers at a loss is probably not sustainable, which should put everybody on more equal footing. But we will continue to work hard to increase UCaaS sales, but only do so profitably.
Jeff Korn : And Matthew, as Jon highlighted on that previous question, the two largest premise providers out there, and the estimates are there's still probably 40% of the businesses in the U.S. that are still on premise-based equipment. The two largest premise providers in the country are Avaya and Mitel. Avaya just came out of bankruptcy for the second time in five years, really concentrated and announced their concentration on just their largest enterprise-level customers. So that leaves a lot of small and mid-sized business Avaya customers out there looking for an alternative. And the same as Jon highlighted with Mitel, Mitel's got a significant amount of small and mid-sized customers out there using the Mitel platform. And if they're uncertain about the future of that product direction and support, they're going to be looking for alternatives. So, on the telecom services, on the retail side of the house, we still see a tremendous amount of opportunity there for growth.
Doug Gaylor: Just as with the platform, disruption in the industry is to our advantage because we have better service, better products, and top-of-the-line pricing.
Matthew Maus : I guess I just have one last question, and that was just in terms of international growth. I know, last call, you mentioned Europe being a big growth opportunity, you're fighting for. So, is there any update on the progress on that front and international growth in general?
Jeff Korn : We continue to see strong demand in Europe. Obviously, some of tariff and trade wars and European indifference to Americans may start to have an impact. We have not seen that yet, but demand seems to be strong.
Operator: Next question is from Jesse Sobelson with D Boral Capital. Please proceed.
Unidentified Analyst: Saul Corder [ph] here. I was just looking at the numbers here, a bit of a modeling question, but so I think gross backlog was $89 million, which is up from $86 million last quarter, and then the next 12-month revenue from those contracts this quarter, I think you guys mentioned $30 million plus, which I think was down somewhat from the $39 million. Can you just explain the dichotomy here, and if this is a sign of a shift in contract length or if there's some seasonality here that we should consider? Thank you.
Ron Vincent : A little bit of seasonality. We typically have lower sales bookings in the first quarter of the year. Most companies run out their capital expenditures at the end of the year. Q1 is typically a slower year for us, slower period for us. It's a recognition of our revenue of our existing customers and then offset by the deals we book during the quarter. Obviously, Q1, if you look back over the last couple of years, Q1 is usually the lower of the four quarters in the year for the last couple of years.
Unidentified Analyst: I was curious if you guys might be able to just give a little bit more color on average revenue per user. Someone last quarter asked if there was any seven-figure contract signs. I'm curious on that myself, and then what underlying average revenue per user trends are today. Thank you.
Ron Vincent : Revenue per user, I think, is pretty stable. I think revenue per user on the retail side was right at $20 in Q4. We have an updated number for Q1, so $60
Unidentified Analyst: $64.25 was for the software solutions customer?
Ron Vincent : No, on the retail side, the revenue per user on the retail side.
Unidentified Analyst: Retail was $351?
Ron Vincent : $351 per account. So, that's about our average size customer [Indiscernible] $20 per user. What was the second part of that question, Jesse?
Unidentified Analyst: Just on the larger trends, I think the customers come over from Metaswitch are considerably larger than the average user, and there's some dynamic there. I think someone asked last quarter if there were any seven-figure contracts signed. I was kind of curious about that myself.
Ron Vincent : Yeah. So, I think that we always have seven-figure or six-figure type contracts on the software solution side. I don't know if we have any huge ones in Q1 that would probably do that.
Doug Gaylor: We do not have a seven-figure contract, no.
Operator: [Operator Instructions]. We have no further questions in the queue. I'd like to turn the floor back over to Jeff Korn for any closing remarks.
Jeff Korn : Thank you, John, and thank all of you for your attention and calling in. We look forward to sharing with you our Q2 results in August. So, until then, thank you, and have a great day.
Operator: This concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.